Operator: Good day and welcome to the Kforce Incorporated Third Quarter 2009 Earnings Conference Call. Today's conference is being recorded. At this time I would like to turn the conference over to Mr. Michael Blackman, Senior Vice President of Investor Relations. Please go ahead, sir.
Michael Blackman: Good afternoon and welcome to the Q3 Kforce conference call. Before we get started, I would like to remind you that this call may contain statements that are forward-looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results may differ materially because of factors listed in Kforce's public filings and other reports and filings with the Securities and Exchange Commission. We cannot undertake any duty to update any forward-looking statements. I would now like to turn this call over to David Dunkel, Chairman and Chief Executive Officer. Dave?
David Dunkel: Thank you, Michael. You can find additional information about Kforce in our 10-Q, 10-K, and 8-K filing with the SEC. We provide substantial disclosure in our release and our hope is that this will improve the dissemination of information about our performance and the quality of this call. Finally, for the first time in five quarter, we’re able to report a sequentially up quarter on both an actual and billing day basis. Once again, we are very pleased with our team’s performance in what continues to be challenging macroeconomic environment. The green shoots of Q2 are now starting to take root, although we are far from declaring victory. We continue to platform well on a relative basis as our service offerings and enhancements to our sales and delivery platforms provide flexibility and competitive advantage. We are seeing clear indications of improving conditions for our technology service offerings consistently across all geographies. This appears to be true for our national account clients, large clients, and small-to-mid size clients. Bill will provide in-depth comments on each service offering in a few minutes. We’ve built capacity in our team as we focus on performance management and providing enabling technology, process enhancements, and infrastructure support. Therefore, we believe we have built strong operating leverage suggesting prior peak earnings maybe surpassed earlier in the cycle. Our team is maturing and we are seeing the results. Our focus is to provide high-quality, high-value services to our customers that will lead to a gain in both market and customer share. If the recovery is marked by slower growth, we believe we may see greater utilization of flexible consultants than we have seen in previous cycles due to the severity and length of this recession. With that said, we still believe the underlying secular drivers for highly-skilled knowledge workers remain intact. We are pleased to have further reduced bank debt in the past quarter and anticipate using cash flow for continued debt retirement, share repurchase, and acquisitions that meet a very high hurdle. I’ll turn the call over to Bill Sanders, Kforce President, who will provide his comments and Joe Liberatore, Kforce CFO, will then provide additional insights on operating trends and expectations, and I will conclude. William?
Bill Sanders: Thank you, Dave. And thanks to all of you for your interest in Kforce. We are pleased with our third quarter results and in particular our ability to grow revenues sequentially for the first time since the beginning of the recent economic downturn. We believe this may be the start of the up cycle as the economy improves. Our results are driven by the great people we have on our team and the strong partnership and culture we had built. We believe our operating platform and diversified portfolio of service offerings provide a strong foundation on which to outperform in any economic environment. We continue to execute with competitive advantages such as our National Recruiting Center, which is particularly effective in delivering to our large national accounts where speed, quality, and cost competitiveness are very important. Our NRC and our state-of-the-art technology infrastructure supporting our tenured field staff are competitive differentiators. We are prepared for the economic up cycle and we believe the Firm is positioned to beat prior peak revenues and earnings benchmarked earlier in this cycle than in past economic rebounds. Revenues increased in the third quarter for the first time since Q2 2008. Total revenue of $228.3 million sequentially by 1%. Revenues increased in our Technology and FA flexible staffing businesses. This increase was partially offset by the anticipated decline in our HLS business as well as a slight decline in our government businesses. Our largest business, Technology Flex, which represents roughly half of total Firm revenues, increased 3.4% sequentially and is down 8.2% year-over-year. We have been pleased with our ability to substantially maintain our Technology Flex revenue stream throughout the current down cycle. Tech Flex revenues increased steadily each month of the quarter from their low point in July and have continued those same trends into October. Tech Flex margins have been stable and are flat year-over-year at 27.4%. The job order pipeline continues to improve, but clients remain cautious in their hiring. Though October trends are promising, we expect Tech Flex revenues to remain stable on a billing day basis for the fourth quarter. Our Finance & Accounting Flex business, which now represents 16.5% of our total revenues, increased 1.3% sequentially, and is down 11.7% year-over-year. We are pleased with the recent performance of our F&A Flex business, which has increased sequentially for the second straight quarter. This growth is relatively broad based with the largest increase in the lower rate, lower margin job classification such as mortgage related services, which has been enabled by our national account strategy and is supported by our low-cost, centralized delivery function in the National Recruiting Center. The mix change associated with the growth in this lower margin business is driving the reduction in year-over-year Flex margins. We have continued to see stability in this revenue stream and expect Q4 revenues to be stable on a billing day basis. Our HLS business segment, which comprises 17.7% of total revenues, is made up of two business units - Clinical Research and Healthcare. During Q3, our Clinical Research business declined 3.5% sequentially and 12.4% year-over-year, and Healthcare declined 1.9% sequentially, and 29.3% year-over-year. We continue to expect low revenue visibility for Clinical Research in the short term as a result of the consolidation and restructuring in the large biopharma space. Though this consolidation will likely impact our business unit at least until mid-2010, we believe the quality of our relationships with the strongest companies in this space will help mitigate short term revenue declines and provide opportunities for growth in the longer term as demonstrated by a recent award of an exclusive arrangement with one of our large biopharmas. This business typically experiences significant holiday shutdowns at our largest client and therefore we expect revenues to decline in Q4. Revenue declines in our Healthcare business slowed during Q3. This business remains challenged by continued low hospital census due to cut backs to address economic concerns and a trend towards lower utilization of traveling [ph] medical coders. We continue to focus on strengthening business development to reach a greater population of clients. We believe in the longer term demand for this profitable business, though much like several of our businesses, expect revenues to be down in the fourth quarter due to the reduction in billing days. Our Government business had a sequential decline of 1.7% and a year-over-year growth of 57.4%. This prime federal contracting business with revenues approaching $120 million is concentrated in some of the most promising areas of federal services such as healthcare, data integrity, finance, and technology solutions. We have seen some recent wins though through the – though the federal government remains slow in awarding new work and has recently begun to in-source some of the activity previously reserved for contractors. We have been successful in winning renewals on the majority of the roughly 60% of our revenue platform, which is being recompeted this year. As we look forward into Q4, we expect revenues to decline slightly as a result of a recent loss on a significant recompeted contract and then fewer billing days. This decline will be offset somewhat by recent wins. We continue to be optimistic about the growth prospects for this business and the stability it adds to our revenue footprint due to the long term nature of its contracts. Search revenues from direct placements and conversions, which were only 2.9% of total revenues in Q3, declined 1.1% sequentially, and 57.7% year-over-year. This marks the second consecutive [ph] of deceleration in Search declines though total revenues are at very low levels. Q4 has had a relatively strong start though revenues are difficult to predict. We expect Search to continue to be relatively stable in Q4. As we continue to navigate through the current economic environment we look at internal KPI’s, which are we call Key Performance Indicators, as one of the – our primary near term forecasting tools. KPI’s began to improve in Q3 and continue to trend positively in October. Overall, we are seeing a slight improvement in some of our leading indicators such as job orders in most geographies, in most products, though it is likely too early to early to suggest that a sustained recovery may be forthcoming. We continue to diligently manage the performance of our sales associates with heightened focus on productivity and exiting underperformers quickly. Flex headcount was down 3.9% and Search 6.9% sequentially. Total sales headcount is 4% less than last quarter and 19.6% less a year ago. Those that have remained with the firm during the downturn are our most successful associates. The current population contains the largest mix of highly tenured associates in the Firm’s history. We believe significant capacity exists in our sales force to take advantage of market opportunities as they evolve and the economic conditions at they improve and we therefore believe it is not currently necessary to add significant headcount in anticipation of the up cycle. Our focus remains on retaining and inspiring our top performers for the economic up turn. While we have less worse results during this downturn, we have also been very focused on positioning ourselves to take advantage of the next up cycle. As we consider the total Kforce business footprint, we believe we are very well positioned to maximize both market and client share when the economy rebounds. Our Government and KCR businesses, which constitute 24.5% of our revenue stream, are focused on stable long term contracts. We have established a cost-effective delivery model in our National Recruiting Center that enhances delivery of our FA Flex and Technology Flex businesses. Our large national account strategy has enabled us to evolve our revenue footprint to take advantage of our nationwide geographic presence and take customer share as large clients continue to consolidate vendor list. Our largest 20 staffing clients constitute 34.2% of our revenue stream and have been a significant contributor to maintaining our revenue during the downturn. Revenues in this customer group have grown 15.7% over the past year. Additionally, we expect Search to continue to compliment our revenue footprint, although it is not necessary for us to return to the previous levels to maximize profitability. We are coming on the stretch in the first year of our three-year strategic plan, which we are calling the race with a triple crown and we are currently well positioned to win the first race. We are also positioning ourselves to win the second race. We understand that our clients believe our services are a cost-effective way to acquire talent. Our immediate plans are to continue to have a relentless focus on retaining our great people and to improve client satisfaction while balancing revenue and expenses as well as to continue to prepare the Firm for the economic up cycle. I’ll now turn the call over to our Chief Financial Officer and Executive Vice President Joe Liberatore. Joe?
Joe Liberatore: Thank you, Bill. The Firm continued to perform well in a challenging environment in Q3 exceeding guidance for revenue and earnings per share, adjusted for the non-cash charge related to the acceleration of vesting of long term incentive equity grants. We believe the third quarter is a reflection of our strong culture and extreme focus on execution in all aspects of the business, including improving client relationships, balancing bill pay rate spreads, expense management and optimizing cash flow. Revenues for the quarter of $228.3 million increased 1% sequentially and decreased 9% from Q3 2008. Flex revenues of $221.7 million were up 1.1% sequentially and were down 5.8% year-over-year. Search revenues of $6.6 million were relatively flat sequentially and declined 57.7% year-over-year. Though down year-over-year, monthly Flex and Search revenues both improved sequentially in August and September. When considering quarterly revenue trends, we note that revenues increased for the first time in five quarters on both a gross and billing day basis. This compares favorably to the last down cycle when revenues did not improve for ten quarters after the previous peak. We believe this is a reflection of our improved ability to take market share and that we are well prepared to grow revenue beyond levels achieved in previous peaks. Revenue trends for the beginning of the fourth quarter of 2009 are down from 2008 levels though October activity continues to improve from September levels in Tech Flex and Search. For the first four weeks of October Tech Flex is down 8% year-over-year, Finance and Accounting Flex is down 13.3% year-over-year and HLS is down 17.5% year-over-year. The deterioration in Search revenues, though still significant, has slowed as Search is down 44.4% year-over-year for the first five weeks of Q4 2009. We caution that it’s difficult to draw conclusions for Q4 based upon this limited data. Net income was $2.3 million and earnings per share were $0.06 for the quarter. Net income and EPS were impacted by a non-cash, pre-tax compensation charge of $3.6 million or $0.05 per share, resulting from the acceleration of vesting of certain equity awards and recognition of all remaining unamortized compensation expense related to the grant. The acceleration was triggered when Kforce’s closing stock price exceeded the stock price at the grant date by 50% for a period of 10 trading days as a result of a standard provision in our compensation plans. Excluding the non-charge, net income was $4.4 million, and earnings per share were $0.11, which reflects sequential increases of 12.7% and 10%, respectively, compared to Q2 net income of $3.9 million and earnings per share of $0.10. These increases are largely the result of the success managing bill rate pressures, and operating expenses we continue to take market share. Year-over-year, our net income and earnings per share excluding the non-cash charge declined 44.2% and 45% from $7.9 million and $0.20, respectively. We are very pleased with our continued ability to maintain gross margins. Our overall gross profit percentage of 31.7% remained flat in Q2 and decreased 280 basis points year-over-year as a result of changes in business mix attributable to the decline in our Search business. Our Flex gross profit percentage of 29.7% in Q3 2009 increased 10 basis points sequentially and declined 50 basis points year-over-year. The relative stability in our Flex gross profit percentage is the result of aggressive management of the spread between bill rates and pay rates. This is especially true in Tech Flex, our largest business where gross margins of 27.4% increased 10 basis points sequentially and remained flat year-over-year. In general, we have been very successful in passing along a substantial amount of client bill rate reductions to our billable consultants. Staffing bill rates have declined 0.5% sequentially and 4.7% year-over-year and pay rates have declined 0.2% sequential and 2.6% year-over-year. As we look forward to Q4 and beyond, we believe we can continue to effectively manage bill and pay rate spreads. However, we anticipate margins to decline slightly in Q4 due to increased pay time off around the holidays. The Firm continues to aggressively manage operating expense. We continue to highly scrutinize every expense to ensure a proper return on investment and alignment of cost structure with the revenue stream. Operating expenses were 29.8% of revenue in Q3. Excluding the non-cash charge, operating expenses were 28.2% of revenue, a decrease of 60 basis points from 28.8% in Q2 and a decrease of 150 basis points from 29.7% in Q3 2008. The majority of our cost structure is variable and compensation expense, which is highly correlated to gross profit, comprises over 75% of our operating expenses. We continue to see leverage in our non-compensation based structure as the result of the significant infrastructure investments made over the past four years. These significant capital expenditures have prepared the Firm well to create efficiencies in this environment and in the future. As we begin to look forward, we expect operating efficiencies to continue to evolve and corresponding leverage and earnings over the few years as these efforts become fully depreciated. Additionally, we continue to balance current profitability with selective investments with a focus on further evolving our current infrastructure to support the growth of business when the economy recovers. Examples of current ongoing investments include further development of our National Recruiting Center and our shared services platform; to continue to increase quality and responsiveness to the customers at the right price. We will continue to manage expenses aggressively, but with a priority on keeping our great people in the firm and maintaining strong cash flow. We believe we have the strongest management team and the most tenured and talented associate population in our history and expect to capitalize on the capacity that exists in our current employee-based increased leverage and accelerate earnings as the economy rebounds, positioning the Firm to obtain [ph] prior peak earnings earlier in the cycle. EBITDA, an indication of the Firm’s strong cash flow, was $11.5 million, or $0.29 per share in Q3 as compared to $11.2 million, or $0.29 per share in Q2. Year-over-year EBITDA decreased 29.7% from $16.4 million in Q3 2008. Debt outstanding under our credit facility, which expires in November 2011 decreased to $13 million at the end of Q3 from $25 million at the end of Q2, and borrowing availability was $59.2 million at the end of Q3. We continue to have sufficient operating cash flow and borrowing availability to run our business and do not anticipate a significant impact from the recent bankruptcy filing of CIT, which has continued to meet any funding requirements and has a $15 million lending obligation in our $140 million credit facility. We are currently working with our bank group to ensure maximum borrowing capacity. The Firm made no significant repurchases of stock during the quarter and has $72.5 million available for future stock repurchases under the current Board of Directors authorization. The Firm has always taken a conservative view on balancing the use of its cash flow between debt retirement, stock repurchases, and acquisitions, and will continue to balance the opportunities that present themselves. Our accounts receivable portfolio continues to perform well. The percentage of receivables aged over 60 days increased slightly to 4.7% in Q3 though it remains at a low level and net write-offs were virtually zero. We believe that significant risk remains for future defaults in this uncertain economic environment. Our allowance for doubtful accounts is currently $6.3 million and we believe sufficient to account for the current risk. In terms of guidance for the fourth quarter, we expect revenues may be in the $216 million to $221 million range. Earnings per share may be between $0.06 and $0.08, which reflects an effective tax rate of 41.2% and approximately $39 million weighted average diluted shares outstanding. The fourth quarter of 2009 is impacted by paid time off and client shut downs around the holidays, particularly in our Clinical Research and Government segments, which, together represents 24.5% of revenue. As a result, the fourth quarter had 61 billing days versus 64 billing days in the third quarter of 2009. From a financial perspective, we are pleased with third quarter results. We continue to invest in our business to prepare for the upturn with a continued eye on expense management. We believe we are well-positioned to outperform as the economy recovers. We have a quality revenue stream and balance sheet and are well under our way in our actions to improve our ability to further share and grow. I would like to now turn the call back over to our CEO David Dunkel for questions. Dave?
David Dunkel: Thank you, Joe. Miss, you go ahead and open the call.
Operator: (Operator instructions) We’ll take our first question from. It comes from Kevin McVeigh with Credit Suisse.
Kevin McVeigh – Credit Suisse: Great. Hey, great job on the quarter in obviously a very, very difficult environment. I wonder given the sequential uptick in Tech Flex, do you think any of that had to do with kind of budget flush or just real, real nice job with the sequential uptick relative to some of your peers. Just want to understand a little bit more if we could.
David Dunkel: Kevin, this is Dave. Thank you for you compliments. I would say the improvement in Tech Flex is execution. If you look at our KPI’s and the performance of our field teams, the – it’s consistent across our geographies and it’s consistent across our customer base. So, large account, national account and even medium and smaller accounts, we are seeing improvements. So, I just – I would take hats off to our team I think it’s an excellent job.
Kevin McVeigh – Credit Suisse: Great. And Dave (inaudible) discussions about 2010, have clients started to give an indication on kind of budget starting to free up a little bit and specifically in our discretionary as opposed what I consider more non-discretionary type work?
David Dunkel: What we are hearing is the backlog of work and the pressure has been building to some of the projects that are in the queue can no longer be delayed and that there is a greater urgency now to move these into the pipeline. So, it’s difficult to categorize the nature of each one of them, but there is no question that there is real pressure on the technology departments of our clients to move these things off the back burner and some of these things, as you know, are deferred maintenance and can on longer be deferred. There are upgrades that need to be done and investments that need to be done to comply with regulatory changes and so forth. So, I would say from an anecdotal standpoint the tonality (inaudible) what we are hearing from clients for 2010 right now is positive.
Kevin McVeigh – Credit Suisse: Great. And one more if I could. Obviously, you’ve done a tremendous job with the NRC through this down cycle. Is there any way to quantify how much more (inaudible) help preserve as a result of kind of business flowing through that versus when you didn’t have it in the past? I know that it’s probably pretty tough to track, but is there any way to think about that?
David Dunkel: It’s – we would have to be in some high level of activity based accounting to get into it, but I can say that there is no question that it has helped us to preserve margin. How much would be difficult to say. It will require a lot of assumption. And a high level, if you just look at how we performed in the last downturn, how we performed in this downturn, if you consider that we are reaching a point of inflection now from an earnings standpoint, I would say that it’s had a substantial impact and leverage for us.
Joe Liberatore: Now, Kevin, and this is Joe, what I would add to that is I would look at it more that it’s allowed us to attract and/or hold on to more margin dollars because it provides us an ability to service business that in the past we may have been required to walk away from just because of our compensation structures work and this provides its leverage that – to after that business as well as to hold on to that as we gain from pressure.
Kevin McVeigh – Credit Suisse: Great. So, it’s probably fair to say, Joe, the incremental margins will be that much higher as you kind of are able to be a little more selective on certain engagements going forward, I would imagine as the economy picks up, is that fair?
Joe Liberatore: If you were to expect a comparable recovery to what we experienced last time around that would probably be a fair assumption.
Kevin McVeigh – Credit Suisse: Great. Thank you.
Joe Liberatore: Thanks, Kevin.
Operator: We’ll take our next question from the Mark Marcon with R. W. Baird.
Mark Marcon – R. W. Baird: Let me add my congratulations.
David Dunkel: Thank you, Mark.
Mark Marcon – R. W. Baird: Just wondering if – can you talk a little bit more about the incremental margins on gross profit? If we go back to the last downturn, it looks like you were running incremental margins on gross profit that were in the – depending on the year anywhere from 46% to 30%. As you have more efficiencies now, should we think of those incremental margins as being higher at this point or how shall we think that through?
David Dunkel: Hey, Mark, I will give a little of history and try and tie back to some of our more recent experience and then we can kind of take it from there. But during the last downturn, our continuing operations experienced about 280 basis point Flex margin compression as compared to a 70 basis point decline from the peak revenue levels we experienced in Q2 2008 to a Q3 2009. So I think it’s important to note that our continuing operation mix of business by service line is very different current state as compared to last cycle–
Mark Marcon – R. W. Baird: Right.
David Dunkel: – by service line. Our make up heading into the last downturn was about little over 60% Tech, 32% F&A, and roughly about 7% HLS as compared to where we are here in Q3 with 51.4% Tech, 18.1% F&A, 17.7% HLS, and 12.8% Government. By service line, I think what’s really most interesting is the declines from peak to trough. We lost about 270 basis points last time around in Tech and 280 basis points in F&A. And this time around, from a Tech standpoint if we look at where we were at the peak we’re just slightly down from where we were. F&A is very similar to last time around. So I would say from a Tech standpoint, we are starting from a higher basis than where we were last time, which is our largest business segment.
Mark Marcon – R. W. Baird: Great. And so from – taking that into account, it sounds like the incremental margins should actually be – would you expect your gross margins to improve from this point forward?
David Dunkel: It’s really going to depend on what happens with the supply-demand. If one were to believe that the demand on the candidate side is going to move back to prior experiences, that should provide some opportunity to accelerate the bill rate. You know there is always a lead lag that we experience there.
Mark Marcon – R. W. Baird: And then on the Tech Flex side, when you take a look at your current – your current resources, how much excess capacity do you think you have?
David Dunkel: When we look at our sales associate population?
Mark Marcon – R. W. Baird: And recruiters.
David Dunkel: Yes. At this point in time, when we look at our two plus year population, which is really now makes up over 50% of our overall sales force, we’ve pretty much lost if we were to use Q1 2008 as really kind of the peak levels here more recently. We are down roughly about 28% in GP production in that population on the Flex side and about 44% on the Search side of the house. So we believe we have inherent capacity that’s built in the system as those people start to capture opportunities.
Mark Marcon – R. W. Baird: And how will we – how are you thinking about investing as things improve in terms of adding personnel, adding capacity, how much are you going to be inclined to let it flow through to the bottom line? You mentioned that a lot of you clients are probably going to be a little bit more cautious about having permanent headcount just because of the uncertainties associated with this downturn. How – are you going to mirror them in terms of your approach and would that further aid the improvement in margins?
David Dunkel: Hey, Mark, let me take a crack at it. We are going to continue to invest in the areas where we have demand and need to add capacity. We have developed a model to accomplish that. For example, if we see within our federal staffing unit increased demand and certainly as that accelerates we are going to invest additional resources there. One of the key questions we are asked most often is what are you going to have to do with Search in order to get Search to the level necessary to achieve the operating margins? And the answer is we don’t. As we’ve looked at our population, the vast majority of the tenured population that was with us at the beginning of the cycle, with us at the back end of the cycle is predominantly the new associates that are not here. So, the good news is that we believe we have a lot of capacity still in Search. It’s not going to be necessary for us to make substantial investments in there. Of course, the caveat is where is the demand going to go. So, if for some reason we were to see a major shift towards permanent hiring, then we would obviously adapt the model and make those investments. The good news is that we are not going to have to go through a major headcount ramping in order for us to meet client demand. We believe we have capacity. And as we watch the capacity being absorbed, we will follow our investment model and inject the resource and the dollars necessary to continue to fuel that growth.
Mark Marcon – R. W. Baird: Right. Yes, one more question and then I will jump back in the queue. Can you talk a little bit about the Government side and what you are seeing there and can you give us a little bit more color in terms of the accounts that you won and the ones – and you made a comment with regards to increased in-sourcing. Can you put a little bit more color around that?
Bill Sanders: Mark, this is Bill. We had an unusually high number of recompetes, over 60% of our revenue base being recompeted this year. Now if you were to compare that to a normal cycle, 2010 approximately 13% of our revenue base would be recompeted. So you can see this year was a very big year for us. Through Q3 we have had 25 recompetes. We have won 18 of theme. We have four awaiting award and we have two recompetes in the fourth quarter. KGS is – it is – still anticipates a 7% or so growth year-over-year as we look at this. So I think we are doing fairly well. We have significant new work we’ve been after. We’ve won some in the Air Force, the Marine Corps, Veterans Administration. And we have a strong pipeline in KGS of $1 billion that we are looking at. And so while things are somewhat difficult because you have a new administration with a new philosophy that’s making it difficult obviously to get the reward – the awards out to look at the conflicts of interest and all the new changes around procurement. The procurement cycle has lengthened and it has become more difficult. So, structurally nothing has really changed in our group. We believe that everything is as strong as we were. We have confidence in the future. We have to get through this new administration so that we can get these awards out there, so we can get some more work. In-sourcing. This administration has, at least in the beginning here, begun a process of actually hiring some of our contractors that are on different contracts working within the government. That’s different than the past administration. And so we are seeing some of that. Unfortunately, there is no conversion fees or anything that rewards us when they actually in-source some of our contractors. So more of that is happening. It has not been a real big issue for us or for the industry, but it is becoming a part of a problem.
Mark Marcon – R. W. Baird: Okay. So, Bill, how should we think about the Government Services from a longer term perspective?
Bill Sanders: I would tell you we are extremely bullish on our group. We have leaders in place and we have a business development group in place that is – we think is outstanding and really building a quality team. I think that they have to get over this recompete cycle. You may or may not remember the price that we paid for the most recent acquisition, considered this type of activity and therefore we think we are well placed in that acquisition. But we are very strong, very bullish on where this is going to go for us.
Joe Liberatore: Let me state one additional element of color. As a result of the acquisition of dNovus in the fourth quarter of last year, we had an unusually high number this year of 60% of the recompetes. Moving into 2010, we expect that number will be in the mid-teens just to be – above 13% just to give you a sense for what will be rolling to the pipeline. In addition to that, it’s obviously a highly complex analysis, but the backlog, our proposals, and a number of other activities that are going on remain very strong. So, our belief is that this business unit will be the – a major contributor for the Firm going forward, but as we mentioned at the beginning of this year, this is going to be an unusual year because of the high level of recompetes.
Mark Marcon – R. W. Baird: Right. And – but it sounds like once we get into 2010 that should stabilize and given that I am just trying to understand the in-sourcing dynamic and the slower procurement relative to your good positioning and how we should think about kind of a longer term growth rate. Is – does it still seem reasonable that it should at least grow in the teens for next year?
Joe Liberatore: Well, on a Q4 basis, if we look at Q4 year-over-year we’ll be roughly around the mid teens. And what’s really going to happen as we look out into next year, realize the timing on proposals and versus decision and all the delays that we spoke about, those are all elements that we are having to deal with. The other dynamic that we dealt with this year is with the amount of recompete, that really chews [ph] up a lot of our business development resources, because it’s the same amount of energy we have to put into the recompetes as trying to onboard new business. When you look at the percentage of market that we have, I mean there is a lot of opportunity for us providing we execute in this business as we’ve executed in our other service lines.
Bill Sanders: But I will give you a specific answer, Mark, this is Bill. Best-in-class, as we read what you analysts suggest is a 15% growth. And we seek to be among those best-in-class. That’s the best answer I can give you.
Mark Marcon – R. W. Baird: Appreciate that. Thank you.
Operator: Our next question comes from Tobey Sommer with SunTrust.
Tobey Sommer – SunTrust: Thank you. Wanted to continue asking a couple of questions about the Government Services space. I was wondering if you could tell us what percentage of your work are you prime on and then kind what – what are you seeing in terms of protest, with a lot of recompetes and some wins, did you find competitive bidding teams protesting and kind of where may those stand? Thank you.
Bill Sanders: We are 83% prime contractor, 17% sub contractor. Protest, well that is becoming a common feature of almost out of these awards that are coming out, you see more and more of that. In certain when we believe that it’s appropriate for us to protest, we do and certainly you are seeing more and more of that. Tobey, I am not sure where you want me to go with that, but the volume of that has certainly increased substantially.
Tobey Sommer – SunTrust: I guess, commenting specifically about the recompete lost you cited that’s something you are protesting and if so will you get a couple of more months with the revenue from that just based on the protest.
Bill Sanders: Well, we have protested it and there is no way of knowing how long before that protest is ultimately resolved. At the moment it has not been resolved.
David Dunkel: There is actually one in the other side that we won and they are protesting, so that delay is (inaudible) so there is an awful lot of protestors, (inaudible) flags all over the field.
Tobey Sommer – SunTrust: And then I wanted just to ask you a question. Based on the significant amount of recompetes this year, really you are not just talking about 2010 being a low recompete year as a percentage, but really probably 2011 and ’12 as well, is that right?
Bill Sanders: You are correct because many of these contracts have three to five years in length and so you would think that that would in fact be the case.
Tobey Sommer – SunTrust: And then is it fair to say that the – because the bidding proposal spending will probably be down in 2010 that margins could expand?
David Dunkel: Actually, we are going to keep that proposal after a new business effort at that level. Our goal is to grow faster, so as Bill said earlier that the amount of effort – as Joe said rather, the amount of effort required on the recompetes is the same as our new business. So, this should substantially free up resources and move us past the best-in-class.
Tobey Sommer – SunTrust: Just strategically are you finding that there is a – may be a need to start bidding on even larger work, is that something that you are trying to develop an expertise at and in throwing your hat in the ring in more substantial contracts that could potentially move the needle even further?
David Dunkel: Actually what we’ve seen is because of our scale now, you are getting north of $100 million it qualifies you for a whole different class of contracts and so, yes, we are going after bigger ones. And also because of the scale of having the Firm behind KGS, that gives us recruiting resources, financial resources and so forth that will allow us to compete favorably on those contracts. So, yes, we are going after bigger ones.
Tobey Sommer – SunTrust: And then, okay, we guess, we’re asking a lot of Government Services questions, in terms of your strategic direction with the Firm deploying capital the relative stability and visibility of this segment, combined with pretty handsome margins, does this fit atop the pecking order in terms of when you look at investing M&A dollars from the balance sheet?
David Dunkel: Yes, if we look at this business, clearly the rate of return is excellent. Of course when you look at M&A dollars, it’s also more expensive. And so we got to balance those two things. But Government is certainly at the top of our list, probably standing next to Tech Flex at this point and as we target specific markets that we want to strengthen to accelerate that Flex growth going into this upturn.
Tobey Sommer – SunTrust: Okay. And last question, I was wondering if you could comment, do you have any feeder work that you would be in a position in terms of evaluating and whether you wanted to keep it or perhaps jettison that piece of work? Thanks.
Bill Sanders: None that we are aware of at this point in time.
Tobey Sommer – SunTrust: Thank you very much.
David Dunkel: Thank you, Tobey.
Operator: (Operator instructions) Our next question comes from Clint Fendley with Davenport. Please go ahead, sir.
Clint Fendley – Davenport: Thank you. Good afternoon, gentlemen. I wondered, recognizing in the Clinical Research segment, recognizing that the placements obviously are down considerably, at the same time the average for the quarter were up significantly. Any color on that and how (inaudible) we might expect going forward here?
Bill Sanders: When you think of direct placement in KCR, that’s a small number, it’s very lumpy, I don’t think that from a Search that that’s indicative that there is anything specific.
David Dunkel: It’s more so the opportunity to present itself based upon the nature of the skill set where the client need is. I mean our permanent placement make-up of our KCR business is so nominal that’s it’s going to bounce all over the place unlike a more traditional Tech business or an F&A business.
Clint Fendley – Davenport: Okay, fair enough. And both for the Clinical and the Healthcare, what type of impact might we expect as a result of the healthcare reform?
David Dunkel: I mean once we have cleared the definition of exactly what healthcare reform is going to be, we probably can answer that question more accurately. We do, however, believe I mean what has been put out there in terms of moving everything from an electronic record standpoint that that provides us some tremendous opportunities in our Healthcare business because that directly impacts the quoting aspect. And so there is a lot of change that’s taking place and we anticipate a lot of change that will take place in that landscape. And we’ve been strategically developing our plans on how to capitalize with the opportunities that are going to continue to present themselves there.
Clint Fendley – Davenport: Okay, fair enough. And final question, I wondered if you could comment on any opportunity to gain share in light of the recent MPS acquisition?
David Dunkel: That will be interesting to see. Of course, whenever an acquisition at that scale takes place, there is an initial disruption and of course they are undoubtedly they are smart guys; they are going to do what we would do. They are going to do everything possible to hold on to the talented people. However, we will wait out here with welcoming arms to any of their folks that would like to remain with a specialty staffing firm. We will miss Tim and Bob and seeing them in the – some of the investor conferences, and we wish them well. They’ve done a fine job over the last several years and I think the – this is a great move for them.
Clint Fendley – Davenport: Right. Thank you guys.
David Dunkel: Thank you.
Operator: And we do have a follow-up question. It comes from Mark Marcon with R. W. Baird.
Mark Marcon – R. W. Baird: Wanted to ask a little bit more about what you are seeing on the IT side just in terms of the verticals that you may have seen some improvement in and how broad based is it? And also, can you talk a little bit about the expectations for bill rates because that’s actually been holding in there pretty well?
Joe Liberatore: Well, from a vertical standpoint, we are actually seeing some movement in a number of different areas, particularly in healthcare – is coming back well, and financial services is starting to come back. More importantly than vertical is size of client. We are seeing – our largest clients, they are beginning to be more active in the marketplace much more so than the medium and mid-size, small. The medium size and small clients are less active at this point in time rather than a vertical piece. What was the second–?
Mark Marcon – R. W. Baird: From a bill rate stand point–?
Joe Liberatore: That is correct. I mean if we go back and we look at kind of where we peaked out, which was Q4 2007; I think bill rates have come down about 6.6%. So, really not anything material from that standpoint. So we view that there is continued opportunity there again. Bill rates are driven by supply-demand.
David Dunkel: Mark, this is Dave. From an industry standpoint, I will give you a few – we are a major player of financial services. We have seen a real strong recovery or rebound in financial services. Healthcare vertical and technology seems to be balancing well and also within the Government space, not just our prime business, but also our, what we call, Kforce Federal Staffing has also had a strong response as well. The Tech area, within – as a technology industry, also appears to be showing signs of life. And so I would say in general that several industry groups are leading or lending the support here to our strong performance on a relative basis in Tech as we look across our peer group. We were trying to dig into that and understand what is that’s doing that. We think it’s our customer portfolio in some of the industry verticals we are playing in.
Mark Marcon – R. W. Baird: Great. And I was – I suspected that you had some of the larger financial services companies that were coming back and that was part of the reason behind the bill rate question is typically with larger clients your bill rates typically tend to be lower just because of the volume price agreements that they would have and yet we are seeing the bill rates are holding up and some – just wondering is that something should we anticipate that the bill rates will continue to hold up – if they had held up this far in the down cycle, is there any reason why they should be coming down in the future?
Bill Sanders: Well, our clients have been early in the cycle quite aggressive on pricing. And we are seeing this – that aggressive pricing reduction are – have subsided. And so bill rates themselves should not be under the pressure that they have been before because they have been knocked down to the point that it’s starting to affect the quality of candidates that they are seeing. Now, of course, on the other side, we are seeing some pressure in negotiating with our consultants. And so, there is two sides to that coin.
David Dunkel: The good news there, Mark, is that the larger clients, because of the fact that they are dealing with a much larger population of consultants, are going to get greater visibility into market share since supply and demand, we are seeing for the first time in quite a while consultants getting multiple offers and getting turned downs. And because of the larger clients exposure in that space, they are able to see that and recognize the need to improve their pay rates somewhat to remain competitive particularly to get the talent that they are looking for. So, it’s an early indicator, we think, that there is stability, pricing stability in – of course, as Joe said earlier, this will be in lag effect.
Mark Marcon – R. W. Baird: Are you seeing any changes with regards to assignment lengths, the amount of time that the clients are willing to commit to in this–?
David Dunkel: Not really.
Joe Liberatore: Assignment lengths have been so project specific that I don’t think in the last several years we’ve really seen any movement on the Tech side of the house in terms of the length of – average length of assignment.
Mark Marcon – R. W. Baird: Great. And can you talk a little bit about FA? I mean, that’s been holding up here sequentially. How do you think that’s going to evolve?
Bill Sanders: Well, you are right. We’ve seen some decent momentum in FA. But of course one of the things that has been good for us is the improvement in the mortgage and mortgage related activity, which is – we’ve had a clear pick-up in activity compared to last year. And that’s because of our national account focus and our NRC being able to let – do deliver quality candidates at a very good price. So, that – and one of the issue we have in F&A is the actual candidates. Candidates are slow to leave jobs. Accountants are a little more conservative, so they are hanging on to their positions and this is difficult economic times. But F&A is improving based upon the general F&A population and due to the mortgage related type of activity.
Mark Marcon – R. W. Baird: Does that mean if mortgage activity falls off, that we would expect to see a little bit of a down drift or how do you–?
David Dunkel: We – the answer to that is yes, but I would tell you right now from every indication that we see is that there is no fall off and the visibility of a short term period that we can see. So, we have looked at that. In fact, I looked at that this morning and there is no fall off that we can anticipate in the near future.
Joe Liberatore: One of the consideration, Mark, is that when you think about the pay rates and so forth there, your – when are replacing a mortgage level skill set with a higher skill set it becomes a one to two or one to three kind of ratio. So, hopefully a slowdown in mortgage activity will indicate that the general economy has turned and we’d start to seen an improvement in demand for some of the higher skill sets as we see investment transactions and so forth to pick up. So, that’s typically what we’ve seen in the past. But, as Bill said, we have not seen anything yet with the mortgage related activity.
Mark Marcon – R. W. Baird: Right. Thank you.
Joe Liberatore: Thank you.
Operator: And with no further questions in queue, I would like to turn it over to Dave Dunkel for any additional comments and closing remarks.
David Dunkel: Okay, well thank you very much for you interest in Kforce. And once again we want to say thanks to our team for performing very well in these challenging conditions and for really going out and winning on the field. Thanks to each and every one of you and every member of our field and corporate teams and our consultants and clients for allowing us the privilege if serving them. We look forward to speaking with you again in February with our fourth quarter performance. Thank you.
Operator: This does conclude our call today. Thank you for your participation.